Operator: Good morning, and welcome to the US Ecology Third Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Eric Gerratt. Please go ahead.
Eric Gerratt: Good morning and thank you for joining us today. Joining me on the call this morning is Chairman and Chief Executive Officer, Jeff Feeler; Executive Vice President of Sales and Marketing, Steve Welling and Executive Vice President of Operations, Simon Bell. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements include risks and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include, but are not limited to those discussed in the company’s filings with the Securities and Exchange Commission. Management cannot control or predict many factors that determine future results. Listeners should not place undue reliance on forward-looking statements, which reflect management’s views only on the date such statements are made. We undertake no obligation to revise or update any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events or otherwise. For those joining by webcast, you can follow along with today’s presentation. For those listening by phone, you can access today’s presentation on our website at www.usecology.com. Throughout yesterday’s earnings release and our call and presentation today, we refer to adjusted EBITDA, pro forma adjusted EBITDA and adjusted earnings per share. These metrics are not determined in accordance with Generally Accepted Accounting Principles and are therefore are susceptible to varying calculations. A definition, calculation and reconciliation to the financial statements of adjusted earnings per share, adjusted EBITDA, and pro forma adjusted EBITDA can be found in Exhibit A of our earnings release. We believe these non-GAAP metrics are useful in evaluating our reported results and our 2016 guidance. With that, I’d like to turn the call over to Jeff.
Jeff Feeler: Thank you, Eric, and good morning, everyone. I’ll start this morning’s call with a few summary comments on our third quarter results that we released yesterday before turning the call back to Eric to give additional details on our financial results. I’ll then close out the call with a review of our business outlook for the balance of the year and then open up the call for questions. For those that are following the webcast presentation, I direct your attention to Slide 5. As announced yesterday, US Ecology reported results reflecting continuing headwinds and challenging market dynamics in the industrial sector. As a result, the quarter did not materialize as anticipated. The primary driver for the lower quarterly results was softness in our project-based event business. During the quarter, we continue to experience delays and deferrals to anticipated project timelines. While it is not unusual for event business timeline to slip for a variety of reasons, this year we've experienced a heightened level of delays that are now expected to push volume into 2017. Additionally, general weakness in the industrial sector has resulted in fewer new project opportunity than we normally see during the typical summertime construction season. The softer market for the event business has accentuated the impact of the project deferrals that have already been -- we've been experiencing throughout the year. While we navigate the short-term choppiness of our event business we continue to see positive developments in those business areas that we have more direct influence over. Our base business continues to perform as expected, growing 4% last year -- over last year's third quarter and growing 3% sequentially from the second quarter of 2016. This recurring business continues to be a bright spot in today's challenging environment and reflect the strength of our underlying business model and service offering. Our field and industrial services business also delivered strong results with another quarter of margin expansion. These solid performances help drive a slight improvement in our operating income during the quarter. As we navigate through this cyclical business softness, we continue to be strategically focused on expanding our disposal network and service offerings to better meet our customer's needs. On October 1, we closed on an acquisition of our newest facility just outside of Los Angeles. Our U.S. Ecology Vernon facility is a fully permitted Part B treatment storage and disposal facility that will better position us in the heart of Southern California's industrial market leveraging our Beatty, Nevada landfill and providing a platform to cross-sell services across all of Southern California. We are excited to add this high quality asset to our extensive disposal network, further extending our market penetration and providing complimentary services for our customers. We're also advancing organic initiative -- growth initiatives that will further expand our service offerings and we look forward to deploying these capital projects as we move into 2017. With that I'll turn the call back to Eric for a more detailed financial review.
Eric Gerratt: Thanks Jeff. As shown on Slide 7 of the presentation, revenue for the third quarter of 2016 was $124.8 million, down from $148.4 million in the third quarter of 2015. Revenue for the Environmental Services segment for the third quarter was $87.8 million, compared to $91.9 million in the third quarter last year. The decline was driven by 4% lower treatment and disposal revenue as well as 9% lower transportation service revenue in the third quarter this year. Base business for the Environmental Services segment was up 4% compared to the third quarter last year and represented 80% of treatment and disposal revenue. Event business for the Environmental Services segment decreased 24% from the third quarter last year. The Field and Industrial Services segment delivered revenue of $37 million in the third quarter of 2016. This is down from $56.5 million in the third quarter of 2015, which included $20.1 million from the divested Allstate business. Excluding the divested Allstate business, Field and Industrial Services revenue was relatively consistent compared to the third quarter last year. Slide 8 breaks down our environmental services treatment and disposal revenue for both base and event business by industry verticals. Base business increased in the refining, general manufacturing and utilities verticals. These increases were offset by declines in the chemical manufacturing, waste management and remediation and transportation verticals during the quarter. The 24% decline in event business was primarily driven by decreases in the chemical manufacturing, government, refining and utilities verticals. As expected, the most significant decline in the Chemical Manufacturing group, stemmed from the expected reduction in volumes from a large East Coast cleanup remedial project and the nuclear fuels fabrication decommissioning project. Turning to Slide 9, gross profit was $39.4 million in the quarter down from $45.9 million in the same quarter last year. Our Environmental Services segment contributed $33.6 million in the third quarter of 2016, compared to $35.6 million in the same quarter last year. This decrease was due primarily to lower treatment and disposal volumes. Treatment and disposal margins were 43% in the third quarter of 2016, compared to 44% in the third quarter of 2015. Gross profit for the Film Industrial Services segment was $5.7 million in the third quarter, compared to $10.4 million in the third quarter last year. The decline was primarily due to the divested Allstate business, which contributed gross profit of $4.9 million in the third quarter last year. Excluding the Allstate business, Film Industrial services gross profit increased approximately 4% in the third quarter of 2016, compared to the third quarter last year. Selling, general and administrative spending or SG&A was $18.4 million in the third quarter of 2016. This was down 22% from $23.5 million in the third quarter last year, which included $3.2 million of SG&A from Allstate. Excluding the divested Allstate business, SG&A decreased approximately 9% due to lower labor and incentive compensation costs as well as an insurance recovery in the third quarter of 2016, compared to the same period in 2015. Operating income was $20.9 million in the third quarter, down 7% from operating income of $22.4 million in the third quarter last year. Excluding the divested Allstate business, which contributed operating income of $1.7 million in the third quarter of 2015, operating income was up slightly in the third quarter this year. Interest expense for the third quarter decreased to $4.3 million compared to $5.1 million in the same quarter last year. This decrease was primarily the result of lower debt levels in the third quarter of 2016. Turning to Slide 10, the company's effective income tax rate for the third quarter was 38.3% down from 40.9% in the third quarter last year. This decrease primarily reflects a higher proportion of earnings from our Canadian operations, which are taxed at a lower corporate tax rate. We reported net income of $10.1 million and diluted earnings per share of $0.46 in the third quarter of 2016. This was up from $9.9 million and $0.46 per diluted share in the same quarter last year. Adjusted earnings per share was up 4% to $0.47 in the third quarter of 2016 as compared with $0.45 per share in the third quarter last year. Adjusted EBITDA for the third quarter was $31.7 million down from $33.8 million in the third quarter last year. Pro forma adjusted EBITDA, which excludes the divested Allstate business and business development expenses was $31.7 million in the third quarter, up slightly from $31.6 million in the third quarter last year. Turning to results for the first nine months of 2015 on Slide 11, total revenue was $360.5 million for the first nine months of 2016, compared to $424.8 million in the first nine months of 2015. The divested Allstate business contributed $51 million of revenue in the first nine months of last year. Revenue for the Environmental Services segment for the first nine months of this year was $252.1 million compared to $266.3 million in the first nine months of last year. The Field and Industrial Services segment delivered revenue of $108.4 million, compared to $158.5 million in the first nine months of 2015, which included Allstate. Net income for the first nine months of 2016 was $26.6 million or $1.22 per diluted share. This compares to $17.9 million or $0.82 per diluted share for the first nine months of 2015. Adjusted earnings per share, which excludes the gain on sale of divested businesses, goodwill impairment charges, the divested Allstate business results, foreign currency translation gains and losses and business development expenses was $1.16 for the first nine months of 2016 compared to $1.21 for the same period of 2015. Pro forma adjusted EBITDA, which excludes the divested Allstate business and business development expenses was $86 million for the first nine months of 2016, compared to $90 million in the first nine months of 2015. Turning to Slide 12 we generated $56.4 million of cash from operations in the first nine months of 2016. We also invested $22.6 million in capital projects, paid down $17.2 million on our long-term debt and paid out $11.8 million in dividends to our stockholders. Our balance sheet continues to improve with net borrowings of $279 million at September 30, 2016. Consistent with last quarter, return on invested capital for the 12 months ended September 30, 2016 was 6.4%. Return on assets was 4.2% and return on equity for the same period was 13%. With that, I'll turn the call back to Jeff.
Jeff Feeler: Thank you, Eric. Turning to our 2016 business outlook on Slide 13, we don't expect to see substantial improvement in the fourth quarter result of the challenging market conditions that we've been facing. Despite expecting single-digit growth in our base business, event business delays continue to push volume into future periods. Also our Field and Industrial Services business is expected to slow in the fourth quarter as a result of lower seasonal industrial spending and the expiration of a contract that was not renewed. It is a combination of these factors that has this lowering our expectations for 2016's financial results, we are now expecting diluted earnings per share to range between $1.54 to $1.65 per share and adjusted EBITDA to range from $113 million to $118 million for 2016. This is down from our previously issued guidance of $1.80 to $1.95 per diluted share and adjusted EBITDA between $126 million to $132 million. The biggest contributor to the revision is our event business performance, which has suffered in these market conditions. One of our multiyear projects that had been expected to ship in September is currently expected to commence shipments in late November, resulting in minimal contribution in 2016 results, but benefiting 2017. On the positive side, the project is about to move with increased clarity and a higher level of predictability going forward. It has also grown in size and scale. Beyond this one large project, an increased number of projects that were also expected to move this year have been delayed. It is important to note that these are different projects, not lost projects. Our current situation though not ideal, sets us up for volume coming into 2017. I continue to be proud of our accomplishments. Areas of the business which we have direct control and influence are growing, despite the state of the industry. This is not a small achievement. Longer-term our business outlook remains quite positive and today's deferrals will create opportunities in the future periods. As the industrial sector recovers, we will be very well positioned. Looking forward, we continue to be strategically focused on growing our base business and adding strategic high quality assets that expand or complement our disposal network allowing us to diversify our business while lessening our dependence on a single remedial cleanup project. We have added two high quality assets to our disposal network in 2016 that will be able to leveraging coming years. We have strengthened our balance sheet and paid down debt with our strong cash flows, while our Board has authorized a $25 million share repurchase program in order to enhance our value creation opportunities. We remain confident in our ability to deliver value to our stockholders over the long term. I look forward to updating you in future quarters. With that operator, we'll open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions] Our first question comes from Michael Hoffman of Stifel. Please go ahead.
Michael Hoffman: Thank you, Jeff, Eric for taking my questions this morning.
Jeff Feeler: Good morning, Michael.
Michael Hoffman: Hi. On Field and Industrial Services, I just wanted to understand your thoughts about the state of the margin structure because you spent the last two years very effectively up-selling or improving the quality. Should we think of the gross margins of that business are now '15, '16 and that's the right place to be and one. And two, I was a little surprised there is a sequential dip in the margin just thinking the third quarter would have more activity and there would be operating leverage in that. So there's two different parts to that margin question. So the long term trend in why the dip?
Eric Gerratt: So Michael, this is Eric. Yeah so we saw a sequential dip in the third quarter from the second quarter, but I think as we talked about, we've seen a lot of margin improvement in the Field and Industrial Services business. Since the acquisition, I won't say we're all the way there where we want to be. I think there's still some opportunity for continued improvement but not, not at the level we've seen so far. I think that, that 15% range is probably a pretty good estimate for the medium to long term, but we will see it ebb and flow a bit just based on the mix of business and the mix of services that we offer during the quarter because there are varying margins just depending on what projects and what business we have going in any given quarter.
Michael Hoffman: Okay. So this was a mix issue then in 3Q?
Jeff Feeler: Yes.
Michael Hoffman: In the context in comparative to 2Q just a mix. Fair enough and I get the variability within the business mix. On the Environmental Solutions business, you had very good fourth quarter relative to the third quarter last year. The pull back and then there was a sequential improvement. So, I don't want to think about the comparison in 4Q this year because underlying this question is there structural growth in base, its running at 2% to 4% range, you've been averaging about 3%ish, do I, do you produce the three year-over-year given the tougher comp or is it not unreasonable it might be flat or only up one because it was a tougher comp.
Eric Gerratt: Well, right now on the base business for the fourth quarter we don't see any indication that’s going to show anything different than we've had this year. So, we’re still expecting low single-digits in I‘ll say 1% to 3% range. It is a tougher comp next quarter, but we’re seeing good volume growth and we're seeing good pricing in our base business and so we’re also going to have some pricing increases that have -- we'll be cycling year-over-year. So, all of that being said, I think that we're in good shape from the base business to still see the single-digit growth in the fourth quarter.
Michael Hoffman: Okay. And then big picture, macro picture, watching and bringing in, in the overall marketplace about the industrial economy, does the project delay issues harbinger a slowing of that base activity or can you look at the breadth of your customer base and go, there puts and takes, but structurally it's still running, in that 3% range.
Eric Gerratt: Yes, I think structurally it’s running at 3% range and as I look, whether we talk fourth quarter or we talk into 2017, I don't really see that structurally changing even next year. So I see it running at that rate in the low single-digits area. And with upside if we see improved economy and improved industrial sector. I know some of the reports that came out today on GDP were positive and so if those trends continue I could see that being an upside in 2017.
Michael Hoffman: Well and to that end there is some businesses in your mix, your customers that had direct or indirect energy exposure all things being equal, we’re off the bottom the trends moving. So things -- are you seeing those trends it's really they're not deteriorating they’ve leveled or even possibly starting to shift slightly.
Jeff Feeler: They're shifting to the positive if they're shifting. So we’re seeing some positive developments there. Anything either directly or indirectly tied to the energy sector while the base business still tends to be healthy there for the most part, but if there's event business coming out of routine maintenance we've seen customers in the deferral mode on that as they try to preserve capital and use budgets accordingly.
Michael Hoffman: And then to that event question, the big project that ended up with a bigger scope of work, but needed a review from the regulator what’s the level of your confidence that the scale of that change doesn't result in the change and how they manage it and therefore this keeps to being deferred or there's not as much volume. What gives you the confidence that there's volume coming?
Jeff Feeler: Well there is always risk all those caveat with that, that we have a much higher level of confidence today based on for interactions with our customer that it is moving forward. This is a core enforcement, cleanup project, which honestly is a great thing because it doesn't, it’s not impacted by ebbs and flows of the industrial economy. And so, they're ready to start shipping here in a few weeks and so given that we're seeing that that go, we’re much more confident that it’s going to go for the duration of the term.
Michael Hoffman: Okay. Thank you very much. Appreciate you taking my questions.
Jeff Feeler: Thanks Michael.
Operator: Our next question comes from Joe Box of KeyBanc. Please go ahead.
Joe Box: Hey, good morning guys
Jeff Feeler: Good morning, Joe.
Steve Welling: Good morning.
Joe Box: So I just want to dig into the guidance a bit, can you tell us, what the event pipeline is as a percent of the guidance cut as opposed to the customer contract cancellation?
Jeff Feeler: Sure, I’ll address this and let Steve fill in where needed, I think in our guidance the biggest singular factor as to why we reduced the guidance to the level that we reduced it, was the event business and the deferral in the event business. And really the event business has two components. The first component is the deferral that has been a common theme that we've seen probably for many quarters. And it's gotten highlighted and it’s more accentuated this quarter just because we've also seen some softness in just the opportunities that have been out there during the summertime construction season that we would normally see during the third quarter. This is common, we’re hearing that this has been very common throughout the industry is that there's a lot less opportunities right now and more of its driven off people being just uncertain of the overall economy and pushing our projects. So the biggest factor is going to be those deferral. From a good estimate from my perspective, is I'm highly confident we saw at least $10 million to $15 million of EBITDA shift from 2016 to 2017 and that’s all related to contracts that we are actually contracted on, on projects that will be pushed into the future periods. There is the whole bunch of other opportunities that are out there, that we feel highly confident they we're going to be able to win and de-lever upon, outside of those ones that we just talked about the were actually contracted on.
Joe Box: Got it. Okay. And then so even though there is fewer opportunities, it sounds like it's a push to next year and it’s not necessarily that the event business is going to be taking a step down and moving to a lower level in '17 because of the macro concerns. It's still coming into the healthy level is that fair?
Steve Welling: Hi Joe, this is Steve Welling. I wouldn't count this as there's fewer opportunities going into next year. We actually had in the range of 40 to 50 different projects that have been deferred. Roughly we got the numbers right here. 11 of them were actually contracted and we have 21 where we had verbal awards that than we've been told that are going to move later date. So that's a pretty healthy number of projects that have been deferred into next year, it’s not one or two, it’s quite a few.
Joe Box: Could this be politically motivated? Is this typical during an election cycle to see this type of deferral?
Jeff Feeler: Whether or not it's politically motivated or not I’ll let others determine that, that question or not, but what we have seen is, there has been an increased push and there's a lot of different reasons for it. Everything from we've had customers that have had regulatory challenges that they're working through the scope and complexity of the issues. There has been others that they start dig in and running into material, they weren’t anticipating having to work through issues. We’ve seen customers that have gone into bankruptcy and guess what, we have a contract with them and now they are in bankruptcy and so its tied up in the court system for a while. So, there's a whole host of reasons as to why there's a deferral and it's not a general theme. If I was just speculate, I think some of the apprehension on the -- on pulling the trigger is waiting to see what happens in a couple week with weeks of the elections and what the fallout of that is.
Steve Welling: We have had a few jobs Joe where EPA has made a decision to spend the money on the project next year rather than next year so, that is one reason but that's just a few projects not the majority.
Joe Box: Okay. Thanks for the color guys. I appreciate it.
Jeff Feeler: You bet. Thanks Joe.
Steve Welling: Thanks Joe.
Operator: Our next question comes from Tyler Brown of Raymond James. Please go ahead.
Tyler Brown: Good morning, guys.
Jeff Feeler: Good morning, Tyler.
Tyler Brown: Hey Jeff thanks for all the color, just a big picture question on the Q4 implied guidance but what is the specific assumption in the event declines in their?
Jeff Feeler: I don't have that in front of me as far as a percentage decline. I would expect the event business to be fairly consistent with what is it for Q3. So when we look to Q4, the upper end of the range you’re getting really close to having a sequentially flat quarter. If we see a continued deferral in projects not shipping as planned that’s how I drive the down to the lower end and if you look at that perspective you will be closure to the Q2 level from an EBITDA perspective. So that's how we’re looking at the quarter, from that aspect. From the base business we’re expecting it to be in the single-digit growth range.
Tyler Brown: Okay. And then how do we think about SG&A, I assume you'll have lower incentive comps as well?
Jeff Feeler: Yes that's correct Tyler. I think SG&A we're probably going to come in around $76 million, $77 million for the full-year.
Tyler Brown: Okay. Perfect and then this kind of goes back to Joe's question but we saw government down 40% I'm just curious if you're seeing them pulling back on the hopes may be of a political outcome that might bring about a big stimulus package.
Jeff Feeler: I would be pure speculation our part never even look at that.
Tyler Brown: Let me ask you this way, did you guys see a big uptick back in ‘09 when Obama put through the big stimulus package then?
Jeff Feeler: Yes we did.
Tyler Brown: Okay, okay and Jeff well, this may sound a bit odd or maybe even somewhat counterintuitive, but I just get the sense that you guys feel like you may have better visibility about next year then maybe you do even here in Q4, is that a crazy assumption?
Jeff Feeler: Well with all these deferrals that we're experiencing, we deftly have a higher level of confidence in volume moving next year. I think the big wildcard that is hanging out there that will hopefully rectify itself over the next several months is what is 2017 look like from an industrial macro condition. And if we see the exact same environment that we’re seen in 2016, my guess is we’re going to continue to face headwinds on the event business while you’re going to have continued deferrals of certain projects that are not being deferred from '16 into '17, but possibly being deferred from '17 into '18 having the same dynamic. If we start seeing some stabilization and we start seeing some improvement, what I think that you're going to see some higher opportunities for growth next year.
Tyler Brown: Okay. Good and then just any thoughts about the buyback when you might be looking to turn that on.
Jeff Feeler: We have plans in place with certain valuation targets that we'll be buying when -- if we ever get to that level.
Tyler Brown: Okay. All right. Thanks guys.
Jeff Feeler: Thanks Tyler.
Operator: [Operator Instructions] Our next question comes from Barbara Noverini of MorningStar Inc. Please go ahead.
Barbara Noverini: Hey, good morning, everybody.
Jeff Feeler: Good morning, Barbara.
Barbara Noverini: So you mentioned in your prepared remarks that you’re focused on organic growth initiatives to expand services, I’m assuming that’s mainly an FISCAL, but would we expect to see some heavier investment in sales in order to achieve your goals there?
Jeff Feeler: No we are making a little bit of investment in sales but most of the organic initiatives have to do with some value-added type service lines that we're adding to and actually some of the more exciting ones are on the environmental services side and I'll have Simon maybe talk a little bit about those.
Simon Bell: Yes, one of the just as an example we've been very excited about the thermal business in the growth in the last several years. We’re adding a box washing facility which is going to enable us to clean a lot of those customers containers and expand the stickiness if you will with our customer base. We’re very close to getting the subpart X permit, which is going to expand our addressable market given us new materials to pursue. And we’re also -- we secured a contract to locate another on-site thermal unit at a specific refinery. So, we’re seeing lots of growth in that area and these are existing customers, people that we have relationships with. So, you don't really need a large increased sales network per se. We’re really just offering more services and leveraging some of these fixed facilities that we have on the ESI side of the business.
Barbara Noverini: Okay. Got it. And I know it's difficult to predict the timing of these things, but is that a benefit that could potentially improve your results for next year?
Jeff Feeler: Yes, yes it certainly would. We expect the box washing facility. We’re in construction. We don't see any obstacles today. We should be complete by the end of 2016. So, absolutely we see some contribution for that business as we move into '17. Similarly speaking the subpart X permit I'm always very reluctant to put specific dates when you're relying on regulatory agencies, but all data points are indicating that we're moving forward and expect to have authorization before the end of the year. So, we also expect that to contribute in 2017 as well. The onsite thermal unit is pretty early in the process. I expect to have that in construction and completed in 2017 and looking to contribute into 2018, its possible it could happen sooner, but the refineries tend to move at a very measured pace.
Barbara Noverini: Okay, alright great. Thanks a lot,
Jeff Feeler: Thanks Barbara.
Operator: Our next question is a follow-up question from Michael Hoffman of Stifel. Please go ahead.
Michael Hoffman: Thanks for taking the follow up. A couple housekeeping questions, assumption, sorry if you said this in your prepared remarks, some sort of tax rate in 4Q then for the full year, any thoughts about the tax rate in '17 and then the same question about capital spending for 4Q '16 and '17.
Jeff Feeler: So Michael for tax rate, I think 4Q it should or we expect it to be about what we saw in 3Q, maybe up a few basis points, but in that same range. For '17 it’s early, we're working through that now, but high level I expect it to be at a similar level to what it is this year, kind of that 38%, 39% all in.
Michael Hoffman: Okay. And then CapEx?
Jeff Feeler: CapEx this year we're at $34 million to $37 million. Next year as a preliminary we'll be right around $30 million to $35 million.
Michael Hoffman: Okay. And then on the government just to be clear down when you look at government in total how much is state and local versus federal typically in the mix?
Jeff Feeler: It predominately federal. The big decline we saw in the third quarter and government with Army Corps related.
Michael Hoffman: So that has nothing to do with infrastructure spending, that’s just a budget, okay.
Jeff Feeler: Yes and that’s timing of budgets I do believe that there was probably some pull back on budgetary spending as they closed out their fiscal year.
Michael Hoffman: Right. Okay. Great thanks.
Jeff Feeler: You bet. Thanks Michael.
Operator: [Operator Instructions] Showing no further questions, this concludes our question-and-answer session. I’d like to turn the conference back over to Jeff Feeler for any closing remarks.
Jeff Feeler: I want to thank those that participate on the phone call today and we look forward to updating you on our fourth quarter results in 2017 outlook in February of next year. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.